Operator: Good afternoon, ladies and gentlemen. And welcome to Cansortium Second Quarter 2021 Conference Call. Joining us today are the company’s CEO, Robert Beasley; and the company’s CFO, Patricia Fonseca. At this time, all participants are in a listen-only mode. After the company’s prepared remarks, the management team will conduct a question-and-answer session, and conference call participants will be given instructions at that time. As a reminder, this conference call is being recorded and will be available for replay in the Investors section of the company’s website at www.getfluent.com. Please note that certain subjects discussed on this call, including answers the company may provide to questions may include content that is forward-looking in nature and therefore subject to risks and uncertainties, and other factors, which could cause actual future results or performance to differ materially from any implied expectations. Such risks surrounding forward-looking statements are all outlined and detail within the company’s regulatory filings, which can be found on SEDAR.com. The company does not undertake to update or revise any forward-looking statements, except to the extent required by applicable securities laws in Canada. In addition, during this call, the company will refer to supplemental non-IFRS accounting measures, including adjusted gross profit and adjusted EBITDA, which do not have any standardized meaning prescribed by IFRS. These non-IFRS measures are defined in the company’s press release, as well as in the MD&A as filed on SEDAR. As a final reminder on today’s call, unless otherwise indicated, all dollar amounts are expressed in U.S. dollars. I would now like to turn the conference call over to Mr. Robert Beasley, the company’s CEO. Sir, please go ahead.
Robert Beasley: Thank you, Anastasia, and good morning, everyone. We continue to execute on our growth and profitability objectives during the second quarter. We generated 24% year-over-year revenue growth to $16.5 million and double the adjusted EBITDA to $5.2 billion, both of which are company records. We also continue to drive operating leverage with a 1200-basis-point improvement in adjusted EBITDA margin to 31.8%. Our relentless focus on providing differentiated high quality flower and wellness products to our patients is materializing in the numbers. We launched multiple new flower strains in Florida during the quarter and more recently launched our new Sweetwater premium whole flower which has been very well received by patients and getting high reviews on Reddit. At the corporate level, we made several new additions to the team and Board of Directors, including three new Board of Directors and the Head of Cultivation, Marco Malatrasi. We’re thrilled to deepen our bench and particularly look forward to working closely with Marco as he looks to improve the cultivation yields in both our current indoor facilities and our future greenhouse expansions, such as Homestead and the Sweetwater facilities announced earlier yesterday. In case you missed that PR, we received approval from the Florida Department of Health to commence operations on a new 43,000 square foot greenhouse located in Homestead, Florida, as well as approval for the remainder of our 40,000 square foot greenhouse in Sweetwater, Florida. The first Bay of our Sweetwater greenhouse was previously approved and we expect to harvest from this Bay around September 15th. The recent approval allows us to expand into the additional four Bays and begin operations in the entire facility. We expect both greenhouses to begin regular harvest in November, with a harvest period of a harvest every 10 days thereafter. From a balance sheet perspective, during the second quarter, we achieved a critical milestone when we raise the capital when needed to fully fund our various expansion initiatives in Florida and Pennsylvania through 2022. We closed on a combined nearly $90 million of debt and equity. We paid down our near-term debt obligations and redeemed all outstanding convertible notes. We’ve worked diligently this year to shore up our balance sheet and capital structure. I can proudly say we have executed swiftly on those fronts. We’ve also executed on our planned retail expansions in Florida, with the recent opening of Miramar and Deerfield Beach locations. We continue to expect opening of another dispensary later this month in Fruitland, bringing our total to 27 in Florida. We’ve already identified four locations and under have entered into a letter of intent for two of those locations for next year. This would take us to 31 stores in our home state by the end of Q2 2022. Our core operations of Florida continue to perform well in Q2. We deemed at our bench at both the Board and management level and our cultivation retail expansion plans are now fully funded. We’ve had a great overall first half of the year. However, we continue to experience the same supply chain and construction delays as reported by other entities. This is impacting our original timeline for the production ramp that we provided in 2021 by about two months. We expect cultivation for our expansions to hit the shelves in late September and continue strong in November and December. This puts us about two months behind the ramp previously predicted. Although, we’re disappointed in these delays and supply chain delays, it is not specific to us and many industries to include the cannabis industries throughout the country have reported similar delays. The reality is for -- our company is that we’ve never really had enough product on our shelves to fully supply our stores. So waiting another couple months leaves us in the status quo for now. And turning to our smaller markets, in Pennsylvania, our first dispensary continues to perform in line and above expectations. Sales continue to increase in Hanover, Pennsylvania. We opened recently our second Pennsylvania dispensary in Mechanicsburg and have signed and executed the lease and are commencing construction on the Anvil location, which we anticipate to have open by the end of the year. The opening of Mechanicsburg was also a month or so behind due to regulatory approval issues. The department they’re being impacted greatly by the COVID crisis and it was just difficult to get the inspections and approvals needed, putting us about 30 days to 45 days behind on that opening. In Michigan, we sold our 2600 pounds of biomass from last season on July 1, that revenue will be reflected in our Q3 results. We’re in the process of selling the remaining 700 pounds of flower with that sale to be completed by the Q3 end. Wholesale market pricing in Michigan continues to be highly volatile due to an illicit market and the impact of an outdoor harvest. We are continuing 2021, 2022 crop in Michigan, that crop was -- is looking good and is planted ahead of time. We expect the harvest to occur in late September rather than late October. This will give us an edge on the commodity volatility of that market. We also plan to hold the results from that crop through the price dip in January and February, and we have achieved preservative qualities with vacuum sealing and otherwise in order to develop a better strategy to play the Michigan market and not face the headwinds that we faced last year. We continue to have outdoor crops in the outdoor Michigan prop -- property as indicated that we are blessed with good growing season and no real pest pressure. That crop is looking better and better and we anticipate it to be a combination of both flower and oil. I was outlined in our press release earlier today due to the construction and supply chains delays in Florida, as well as the market challenges in Michigan, we are revising our 2021 guidance and now expect a total revenue range between $70 million and $80 million, with adjusted EBITDA range between $18 million and 26 million. Despite these setbacks, we still expect to exit the year the same run rate as our prior expectations, given that our Florida cultivation and greenhouse expansion will be online and products on the shelves in Q4. If our construction delays are resolved sooner than our current projections, we see an upside to these 2021 forecasts, but have provided this revised forecast for to be as conservative as possible. Looking ahead, we continue to -- we do plan to continue focusing on the initiatives within our control and delivering high quality wellness products to our patients in Florida and Pennsylvania. Were well positioned to close out the year on a high note and drive further growth in 2022. We fully expect that as the ramp has shifted to months that the first two months of 2022 will realize the OpEx [ph] of our production capacity and we will then be in good standing to compete with more products than ever before in the remainder of 2022. With that, I’ll pass the call to Patricia to walk through the details of our financial results and then we’ll open the matter up for Q&A. Thank you. Patricia?
Patricia Fonseca: Thank you, Robert, and good morning, everyone. Please note that all figures are U.S. dollars and all various commentaries are on a year-over-year basis unless otherwise specified. So I will jump right into our results. Second quarter revenue increased 24% to $16.5 million, compared to $13.2 million. The increase was largely driven by our increased footprint in Florida, which went to 22 dispensaries in the year ago quarter to 25 dispensaries in the second quarter of 2020, as well as improved production yields. This led to a 22% increase in Florida revenue to 14.6%, compared to $12 -- $14.6 million, compared to $12 million in the year ago quarter. Adjusted gross profit in Q2 increased 24%, a $10.7 million or 65.1% of revenue, which compares to $8.7 million or 65.5% of revenue. This continues with some of the highest margins in the cannabis industry. Second quarter operating expenses totaled $8.2 million, compared to $10.5 million, reflecting a 22% reduction. As a percentage of revenue OpEx decreased significantly to 49.9%, compared to 71 -- 79.1% with the improvements driven mainly by lowered share-based compensation. Second quarter net loss totaled $25 million or $0.11 per share, compared with a net loss of $5.4 million or 3% -- $0.03 per share in the year ago quarter. Adjusted EBITDA increased roughly 2 times in the second quarter to $5.2 million, compared to $2.6 million, with the increase resulting from our strong revenue growth and diligent cost management highlighted earlier. Turning to the balance sheet, at June 30, 2021, we had $26 million in cash and $71 million total debt. And as Robert mentioned earlier, we shored up the balance sheet in the second quarter by closing $70 million private placement and $71 million term loan that extends our debt maturities to 2025. We also cancel all legacy debt and reduce all outstanding convertible notes. Our cultivation and retail expansion projects for 2021 and 2022 are now fully funded. Given the construction and supply chain delays in Florida, some of our expected CapEx spend may shift from 2021 to 2022. This does not include any project that we’re contemplating in our 2021 guidance as those assets will be online and we’ll be generating sales in the next few months as Robert mentioned. On a combined basis, we anticipate a total CapEx of approximately $20 million to $25 million between 2021 and 2022, with the majority of that being deployed this year. And as Robert mentioned, we have adjusted our full year guidance for 2021, we now expect revenue to range between $70 million to $80 million, with adjusted EBITDA range of between $18 million to $26 million. This reflects year-over-year growth of approximately 43% and 114%, respectively. Operator we will now open up the call for Q&A.
Operator: [Operator Instructions] The first question comes from Jon DeCourcey with Viridian. Please go ahead.
Jon DeCourcey: Congratulations on the quarter and seems like the guidance change is pretty understandable. So shouldn’t be any real issue there. Just a couple questions on my end, first off, regarding the Michigan flower pricing issues. Now that this is a kind of second year in a row where you’ve had this as a drag on results, how do you plan to mitigate that moving forward and is there a way to better offset this headwind?
Robert Beasley: Good morning, Jon. Thank you. It’s a great question. It’s one that I’ve kind of struggled with. It’s not really the second year in a row. If you recall, there was the first year this company harvested any product was 2019, following the hailstorm and crop failure. And so that harvest was just kind of ragged leftovers of fresh frozen and that’s what I inherited. I disposed of that by the end of 2020 or really mid-2020. The first crop year that we harvested was the 20 year and we went into that with a signed contract for the sale of the biomass and that’s the same crop that we’re discussing today. So it’s kind of been kicking the can down the road is price volatility kind of continue to impact us. I’ve studied the market and here’s what happens. First of all, it’s an outdoor market primarily, which means that you have a crop tober, which means you have commodity-based volatility coming into right now. So now we’re here in late August, you start to see prices start to tighten up, because there’s an expectation of a large harvest. What happened last year, I hope does not happen this year. The regulator’s attend -- have paid attention to it now and have said that they’re going to prevent it, which is a massive influx of illegal crop, which then further depress the market. So, at some point, you can do a calculation based on anticipated volatility by the number of acreage is in production, number of anticipated yield, after that, you can kind of get a feel for what’s out there. But you can’t do that when there is a massive import of illegal product. So that has to be buttoned up. Until this is resolved from a regulatory point of view, we just can’t predict. Obviously, those illegally importing aren’t going to let me know how much they’re going to bring in. And so what we’ve done is this, we have purchased the equipment and so forth to process, remediate and preserve the product. We have prepared to sell the biomass. We’re going to harvest a little bit early this time. So we’ll be harvesting in late September, which means before the pricing completely bottoms out, because the market hasn’t yet flooded with an October harvest, we’ll be able to get our biomass out. We’re then going to remediate, convert and preserve our flour and hold. This is what we ended up doing this year was holding, we just didn’t do it intentionally. Our error, if you would, was putting the sales numbers in Q1, based on essentially Q3 pricing from last year and that pricing does not hold, it is variable and it’s highly volatile. But if you anticipate your sale numbers based on Q2 or Q3 pricing of this year and then prepare to hold till that same period, you can then time the market. We’ve now had a full year of studying the offers that have come in. It’s been the luxury of sitting on flower. As we sit on that flower that’s ready to go and we have COAs and it’s being preserved, brokers continue to come in, look at the product and make an offer. We’ve watched that pricing go from $250 a pound all the way back up to now receiving offers at a blended rate of about $1,000 to $1,400 a pound and so that’s the measure of volatility that we’re dealing with. So that’s okay, now that we’ve tracked it for a year and we anticipate this, an intentional plan of not booking the revenues in the first quarter is first -- the first step. Secondly, being able to hold the product and deal with it as a commodity. The Michigan revenue is not necessary -- is not that significant or revenue to our topline. It’s just the miss was such that it kind of permeated everything else in the earlier results. So that’s our strategy. That’s our plan. Michigan will stabilize. It’s just going to be a while until it does and we’re dependent on the regulator’s doing their job.
Jon DeCourcey: Okay. That makes a lot of sense. All right. And then looking at Pennsylvania, can you kind of -- as you’re expanding assets in the state, can you kind of describe the supply environment and if kind of, are you having any issues with or maybe even benefits -- and benefits as more supply comes on in that market? Are you able to get the sufficient supply as you’re opening up new stores?
Robert Beasley: So, supply in Pennsylvania, like other states, and most every other state except California, Oregon and Colorado, supply is -- they are underproduction. Most of the suppliers we talked to last year were in construction and suffering the same construction delays that everyone else there are, with expansion of their production. And so, one of the drawbacks to our Hannover facility sales, one of the limiting factors was supply, we were a one store buyer in this state. So the thing that we did was we when constructing Mechanicsburg, we expanded the vault. The vault in Mechanicsburg is enormous. And then we went and I met with every one of our suppliers, and I said look, we’re kind of a Tier 3 buyer, I want to be a Tier 1 buyer. And in Pennsylvania what that means and whether they use that terminology or not, is that, you’re capable of buying they’re acceptable ratio, meaning everyone wants flower, but they only have so much flower and they need to balance their sales with other types or other lines and methods of administration, for instance, vape cartridges. So what happens in Pennsylvania with these suppliers is they say, if you buy X amount of vape part cartridges, I’ll sell you y amount of flower and so it’s all about ratio. And you have to bargain your ratio percentage. So what I did was, I put in an expanded vault in Mechanicsburg, which is now open, and I went to every one of the suppliers, there’s only about 13 to 15. And I said, look, we ready to be a bigger buyer, we’ve got two stores now, with a third one opening soon, we built this centrally distribution hub and you reach out to us. If you need to push a product out, we will buy more of some of your derivative lines in order to move up the chain as a flower buyer. We want to be a bigger Tier 1 buyer and that’s working. So now what’s happening is, because we can buy the higher ratio of the non-flower products, we’re getting more of the flower product. And it means that we have to hold the product a little bit more, because they would rather us hold their products than them hold their products. But as long as their products that sell now we have the capacity to store it and hold it. And of course, we’re talking about shelf stable products that you can hold. So that’s the strategy. It seems to be well received. Our initial orders for Mechanicsburg for the grand opening, the suppliers really opened up for us and provided us a healthy supply, so that we’re able to have a good start there and so that is our strategy and I believe it’s working.
Jon DeCourcey: Okay. Great. And then one final question on me and something we haven’t really touched on is, Texas legislation was pretty favorable back in late spring. I mean, not as favorable as it could have been, but still nevertheless favorable, kind of what’s the strategy there and what are the next steps that you’re going to be taking in that market?
Robert Beasley: Yes. It was not as favorable as we had hoped. As everyone knows, I believe the lieutenant governor in Texas is just not a fan. And so every time bill gets momentum in a positive direction, there’s a tremendous amount of leverage from the executive placed on that bill and we thought we would have a 10% THC limit available was reduced to 1%, we did get some expanded conditions. So we’ve met with DPS several times. DPS which is the agency regulating the program. They really, really want to see the program developed. They are an energetic group. They know they’re sitting on a program that’s been stagnating and so they become real flexible in our strategies and development of strategies. We have figured out a go forward plan. Some of the major limitations in Texas are the low THC, but also the requirement that you can only have one location and you have to survive by home delivery in a state like Texas, which is a massive amount of geography to cover. So we’ve reached a winning solution with DPS. We found a scenario that works. I’m not going to disclose it to you, because obviously it’s a matter of competitive advantage. But we now have a go-forward plan. The problem remains the low patient count. There’s only less than 10,000 now. I think it maybe between five and 10 registered patients in the entire state, because it’s a young consumer group. And the product availability has just not been enough to be interesting from a medical cannabis perspective. We’ve created a line of products now. We formulated a line that do take advantage of the increased THC. We of course have CBD products available. We have a way forward with DPS that they’re going to allow and so we now can start expanding footprint and capturing market share. But we have to build our own market share. So it’s going to be like Florida in the old days. We’re going to have to have these medical cannabis awareness days and these events where we get people to come in the door and then get them to the physicians to see if they’re eligible or not. We’re going to have to build our own customer base. There’s only three licensees in Florida. DPS has not indicated and really desire to expand. And it’ll be two more years before the legislature meets again. So our program will be building market share and building footprint. That does not promise to result in increased topline revenues for the company, because there’s just not enough customers there. We’re going to have to see a continued expansion of that market in order for it to start to become a major revenue producer.
Jon DeCourcey: Okay. Great. All right. Well, thanks, guys. Looking forward to following up.
Robert Beasley: Thanks, Jon.
Operator: The next question comes from Phill Larson with Millstreet Capital Management. Please go ahead.
Phill Larson: Yes. Most of my questions have been addressed, but I just wanted to get a little more detail on some of the construction delays in Florida, so you just kind of walk us through what was driving some of that a little more detail that would be really helpful?
Robert Beasley: Sure and they are numerous. We are suffering from, I think, what everyone else is suffering from and every industry, both a labor shortage, but also an import short -- issue. So with the labor shortage, some of the major instances, the greenhouse set still in vacant without any ability for DOH inspection for almost six weeks, while the power company struggled to find someone to dig the ditch from the main road over to our greenhouse. It was about a quarter of a mile. But we didn’t have the amps at the facility. We put the order in months and months in advance, and they just literally could not find a contractor with the labor to dig the ditch. So we sit there and stared at our greenhouse. So there’s an example of labor issues. We have benches stuck in somewhere in Norway or Scandinavia that knows line in sight that we’ve paid for that are still stuck somehow and not being important. We were unable to obtain the electric controllers, the digital controllers for the -- are selected fertigation system after waiting several months and this products come from China. After waiting several months, with being told 80-day now, we pivoted and went with another system. It’s not our preferred system, this is the second choice and now we have that in place. We couldn’t open up the Sweetwater [Technical Difficulty] rooms. If you remember, there’s 11 total rooms, we had six in production, we’re trying to get seven through 11 open. We couldn’t open those unless we had the ability to fertilize the plants. And so without the controllers and fertigation system on this type of sale, we just could not move forward. So those are some significant ones. In Pennsylvania, it was a regulatory issue. The regulatory department there just is not properly staffed and we waited, I think, we waited almost a month in line to get an inspection, to get mechanics for open. So frustrating all around to do business right now. We are suffering from labor issues ourselves internally from our hiring in our cultivation centers, but those have an impact at our schedule, as much as the labor and supply issues from these outside vendors.
Phill Larson: Yeah. That’s right. Well, I appreciate the color on that and hopefully it clears up soon.
Operator: [Operator Instructions] The next question comes from Daniel Hung with Contrarian Capital. Please go ahead.
Daniel Hung: Hi. Thanks for taking my question. I was wondering if you could maybe expand a little bit on the phasing of the expansions in Sweetwater and Homestead. It sounds like Homestead is actually incremental to what we were expecting earlier in the year?
Robert Beasley: Yes. So Homestead a new pickup. Actually when we did our original projections, Homestead was not even in existence. It came as an opportunity for me on basically a con call. Homestead is one big greenhouse. It is 40,000 square foot. It was a berry facility at some point and it’s been converted. And it has exposure to all the environmental, meaning, we’re down in Homestead, Florida, it’s really hot down there, there’s lots of bugs and but it’s a good growing environment because of its semi-tropical conditions. We’re going to utilize the exterior, external conditions to grow there. However, we anticipate that to be purely an oil product, which is fine, we need the oil product. Homesteads coming online, it was just approved, very minimal physical improvements needed less than $0.25 million in capital improvements and almost all of that went into getting securing a good solid water supply. We did -- re-did the shade system. We had to add a drying solution. The crops are in there now. So that is really kind of a bonus to all of our production estimates that we did earlier in the year. So let’s get back to Sweetwater. Sweetwater, as I said was 11 rooms, due to our capital constraints originally we built it in phases inside, we only built four rooms out and four rooms started production in April. We anticipated that if we got the money, which we then got in May and were able to start deploying, we would build rooms five, six, seven, which is three more rooms and get those in production. We built five and six. We waited on the paneling the permit -- firm paneling for seven. We were lucky enough to find paneling now for seven, eight, nine, 10 and 11. So we have stored on our site, don’t tell anybody and everyone’s looking for it, enough paneling to complete the whole facility. So we’ve now started building through nine. We will have rooms through nine built and crops in those rooms by the end of the year. We will have rooms coming out of six, seven, eight by November 1. So it’s -- you’ve got to complete the construction and then get the room into a production cycle. So there’s another step after you get the lights on and so getting those rooms in production. I will now not have all 11 rooms in full production swing until February 2022, which is the schedule that I anticipated having in full swing by December -- end of December 2021. So you can see I’m about two months behind on that. If we step out back, we now have completed and have fully approved an acre greenhouse 43,000 square feet. Because of the environmental controls we talked about earlier, we went ahead and got one Bay approved. We started growing in that one Bay. That Bay will harvest September 15. That puts product in our shelves related to that Bay 1st of October, takes about 20 days to 25 days from the harvest to get it into the market, maybe a little longer. So as you can see the ramp that we anticipated is there, it’s just pushed to the right. The other Bays have been approved. They’ve got young plants in them. We’re going to start a mid-November harvest cycle. So what will happen is, again, it’s about production schedule, outside of Sweetwater in that 1 acre greenhouse. We will harvest November, I’m sorry, September 15 it’ll be a small harvest and then starting about November 5, then at that point each Bays starts taking down every week we take a Bay down. We can only take down so much in a production cycle because then it has to bubble through the system from drying and processing. So, again, this outdoor product we just talked about is more oil product. When it’s all set and running by the end of the year, we will have 83,000 square feet of oil-based production capability, which are the two greenhouses. Then we will have 26,000 square feet indoor Sweetwater with all 11 rooms kick in that produces that flower harvest -- of high quality flower harvest every 10 days. And then let’s go over to Tampa real quick, we have stabilized the indoor facility at Tampa. We are now fully converted to cocoa, which was a big move. The system is stabilized. We’re at about 60,000 grams production now, which means that we’re producing the same grams with 2,100 plants a cycle that we were producing with 5,700 plants a cycle. So you can see we relieve the whole system from the stress levels. Now we can continue to add plants to get us back up to an 80,000, 90,000 grams a cycle. The construction on Tampa adjacent building is well underway. It will be completed by about November, that is an additional 5,000 square foot of grow. Again that’ll be small batch grow. It’d be more like Sweetwater than its neighbor at Tampa. So everything is moving. When we finally got the money, we anticipated getting this money in March, we got it in May, that’s just the delays inherent in the process. But once we got the money we were able to push green button on a lot of these projects and then start going. By May we started suffering the construction and product delivery delays. Does that help you see what our picture looks like?
Daniel Hung: Yeah. That’s really helpful. And I guess, the view is that all of these projects will be, I guess, up and running by February. Have you seen the yield versus your expectation as you’ve started to get the rims on? Is there, I guess, tuning up period that you would expect as well?
Robert Beasley: There -- so yeah. So go back to the greenhouse outdoor Sweetwater. We started with one Bay and not as good a production in that one Bay as I expected. We had to adjust with some equipment. We need a potting machine and some other stuff to get that much acreage covered at one time. So, that -- by the time we get to the November harvest that greenhouse will be dialed in as we like to say it. Sweetwater indoor, those first four rooms, if you recall, I don’t know how closely track it, but they slowly developed out. They did not start out as well as we thought they should. We had some environmental issues. We were on a rental AC system versus our permanent chiller system, because the system was designed for all 11 rooms and there was a dial up there. It’s now dialed in and producing every 10 days. And the quality and the THC values coming out of that facility are now fully dialed in. In fact, we just released Gary Payton in Florida, and it is just going crazy right now, because it’s such high quality flour. So Sweetwater, I would say, is dialed in. Will there be an additional dialing in for the other rooms as they come on? Sure, probably, but not to the degree that it took to get the first four rooms function.
Daniel Hung: Very helpful. Thanks for going into such detail.
Operator: This concludes today’s conference call. You may disconnect your lines. Thank you for participating and have a pleasant day.
Robert Beasley: Thank you.